Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Cirrus Logic First Quarter Fiscal Year 2017 Financial Results Q&A Session. At this time, all participants are in a listen-only mode. After a brief statement, we will open the call for questions from our analysts. Instructions for queuing up will be provided at that time. As a reminder, this conference call is being recorded for replay purposes. I would now like to turn the conference call over to Mr. Thurman Case, Chief Financial Officer. Mr. Case, you may begin.
Thurman K. Case - Cirrus Logic, Inc.: Thank you, and good afternoon. Joining me on today's call is Jason Rhode, Cirrus Logic's President and Chief Executive Officer; and Chelsea Heffernan, our Director of Investor Relations. Today we announced our financial results for the first quarter of fiscal year 2017 at approximately 4:00 P.M. Eastern. The shareholder letter discussing our financial results, the earnings press release, including a reconciliation of non-GAAP financial information to the most directly comparable GAAP information, along with the webcast of this Q&A session are all available at the company's Investor Relations website at investor.cirrus.com. This call will feature questions from our analysts covering our company, as well as questions submitted to us via e-mail at investor.relations@cirrus.com. Please note that during this session, we may make projections and other forward-looking statements that are subject to risks and uncertainties that may cause actual results to differ materially from projections. By providing this information, the company undertakes no obligation to update or revise any projections or forward-looking statements whether as a result of new developments or otherwise. Please refer to the press release issued today which is available on the Cirrus Logic website and the latest Form 10-K and 10-Q as well as other corporate filings made with the Securities and Exchange Commission for additional discussions of risk factors that could cause actual results to differ materially from current expectations. Now I'd like to turn the call over to Jason.
Jason P. Rhode - Cirrus Logic, Inc.: Thank you, Thurman. Before we begin taking questions, I'd like to make a few comments. For a detailed account of our financial results, please read the shareholder letter posted on our Investor Relations website. Cirrus Logic delivered revenue of $259.4 million in the June quarter, as demand for our portable audio products drove sales above the high end of our guidance. As a leading supplier of innovative audio and voice solutions, the company's strategy in mobile phones is to continue to maximize our opportunity in flagship devices, expand our business with OEMs 3 through 10 and drive features and content from flagship into mid-tier devices. Beyond the mobile market, we intend to migrate the technologies we have developed for handsets into a number of emerging applications, including the smart home and wearables with the adoption of digitally connected headsets driving our largest opportunity initially. Finally, we are investing in MEMS microphones and other signal processing intensive technologies, such as voice biometrics that we believe will significantly broaden our served available market in the coming years. These strategic initiatives have positioned the company to exceed our revenue growth target in FY 2017 and are expected to contribute to further growth over the longer term. Before we begin the Q&A, I would also like to note that while we understand there is intense interest related to our largest customer, in accordance with our policy, we do not discuss specifics about our business relationship. Operator, we are now ready to take questions.
Operator: Your first question comes from the line of Tore Svanberg from Stifel. Your line is open.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Yes. Thank you. And congratulations on the solid results.
Jason P. Rhode - Cirrus Logic, Inc.: Thanks, Tore.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: I guess the first question – yeah. Hi. Just looking at the first question, the September quarter guidance, does that reflect ramps with multiple customers? Or maybe you could elaborate a little bit more on what's behind the strong growth, please?
Jason P. Rhode - Cirrus Logic, Inc.: Well, yeah, I mean, we don't want to spill any specifics regarding customers that have got products that may or may not be on the way, so it's a little bit challenging. Obviously, any consumer facing company has got multiple customers and you've got to ramp for a busy holiday season so that's always reflective of things that are going on. That said, the growth story for us is really pretty much what we've been saying for the last year that we expect really good things from multiple of our new products in addition to just strengthen our core existing business. So we expect big new things from, in particular, headsets, amplifiers. Certainly, there's a mix of new products and a mix of things that you would just expect to sell well for the holiday season. I will note we're not expecting, or at least we're not basing that on any outlandish unit growth in the mobile market. We've got something of a content story this year as we've talked about in the past.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: That's helpful. And could you also talk a little bit more about the MFi reference design? Just help us understand a little bit how that works. I mean obviously I know it's a reference design, but in a typical design how would that actually go about?
Jason P. Rhode - Cirrus Logic, Inc.: Actually, I would love to, but the terms of what we're allowed to talk about per the MFi license is actually pretty limited other than to other licensees. So suffice to say what you see and what you saw in the press release is all very good. It gives MFi licensees a lot of options for things that they could then go build around that interface and that is obviously very good for our business to the extent that that kind of product takes off.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Very good. So maybe I can try this one then. You talked about penetration into the mid-tier market already this quarter. How should we think about that going forward? Could you potentially get some pretty rapid penetration and gain share quite quickly or do you expect this to be a little bit more gradual over time?
Jason P. Rhode - Cirrus Logic, Inc.: Well obviously there are an awful lot of mid-tier devices sold in the Android space. They are typically fragmented among a bunch of models so we're not modeling that as driving our revenue through the roof anytime real soon. But it is the case that if we do well with particular customers and if that trend continues then that can aggregate up over a number of models and a number of customers to turn into something that's really pretty meaningful. The ASPs of course for a smart codec that's been right sized for the mid-tier are lower than, for say a flagship, but still the unit volumes are really pretty significant in total. So it's great to see signs of progress. It's been just maybe a little over a year since we've had devices that are applicable to the mid-tier of the handset market. And so we're excited to see the progress we're making there with multiple accounts. And we expect that that's kind of a trend that'll play out over a handful of years.
Operator: Your next question comes...
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Great. Just one last question...
Operator: Your next question comes from the line of Matt Ramsay from Canaccord Genuity. Your line is open.
Matthew D. Ramsay - Canaccord Genuity, Inc.: Thank you very much. Good afternoon. Congratulations from myself, as well. I guess a couple of questions, Jason. Maybe you could talk about, a little bit generically, the difference between maybe the supply chain around your products that might go into headsets versus the traditional products that have gone into the handsets themselves, particularly around lead times into the supply chain. I'm just trying to get a shape of how things could ramp as the headset products ramp with potentially multiple vendors over time. Does that change sort of the lead times we should think about relative to when phones traditionally launch and how that relates to your revenue? Thanks.
Jason P. Rhode - Cirrus Logic, Inc.: You know, that's a very good question. They – it's certainly the case that even, actually, even leaving aside headsets, if we sell multiple components into the same end product, say, an amplifier versus a smart codec versus a microphone, even those can have individually different lead times depending, you know, are they mounted on the main board? Are they stuck on a ribbon cable that then ends up having to get built into a subassembly? And so that can change things by weeks or even a month in some cases. Certainly, in the case of handsets, those are typically the most efficiently produced products on the planet, I guess I would say, so that would probably be – handsets would probably be on the, especially gearing towards an initial ramp, would probably be on the low end of the spectrum, lead time-wise. Those products are – things we ship are pretty efficiently turned into finished products. But I usually – this is probably as good a place as any to try to insert the usual caution about trying to correlate what we're doing and the timing of what we expect revenue-wise with what any one of our customers might be doing. There's an awful lot of moving parts there, and even when we're looking at the numbers, all the way behind the scenes, and try to correlate it out, there's often a lot of variability in there and it's pretty difficult to correlate. So hopefully, that's a little bit of color that could be useful.
Matthew D. Ramsay - Canaccord Genuity, Inc.: No, that's really helpful. Thanks. And then as my follow-up, obviously, good to see some of the mid-tier progress and also with sort of the OEMs 3 through 10; when I talk to investors, often it's a conversation around what the different OEMs might be doing and it occurs to me that the big competition has come from a relatively dominant base band supplier that integrates their own audio. And I'd just be interested to see how you're aligning with the different chipset vendors that are now making forays into the LTE market, whether those are vertically integrated or merchant suppliers and how you feel you're aligned with the different vendors as that market diversifies a bit. Thanks.
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Yeah, I mean, any diversification in that market would be more than welcome, from our perspective. The first, I would say, the highest priority for us or the least painful path to production for us is if a company has their own applications processor, it's really not much about the radio. But if they've got their own AP, that's good because then they're less beholden to others. That said, our chips can and have been used in production with multiple different AP vendors for, APs from multiple different vendors. And it's really the customer's decision. The AP vendor may or may not like it. And to some extent they do try to make that as difficult as they can. But we've proven we can support that in production. There's multiple handsets on the market where our codec is adding value right next to somebody else's AP. So if you're trying to make an inexpensive phone as quickly and easily as possible, then probably wrapping plastic around the reference design is the way you'll go. But increasingly, especially in the Android space, these guys are desperate for something to diversify their products with. And for whatever reason, especially in China, audio has become one of those things, whether it's distortion performance or noise or advanced voice features, always-on voice. Or everybody thinks I'm kidding when I say it, but karaoke so you can sing along with your phone for whatever reason you would want to do that. That's actually a big deal there, and we've got really tricky audio and voice signal processing algorithms that go along with that and make that possible. So if you're trying to differentiate on audio and voice, we're a really logical place to turn.
Operator: Your next question comes from the line of Charlie Anderson from Dougherty & Company. Your line is open.
Charlie Lowell Anderson - Dougherty & Co. LLC: Yeah. Thanks for taking my questions. And congrats on my side. Jason, I think when you guys first came out with ANC, the ANC solution for headset, it was unclear exactly how OEMs would adopt it. It was so new to the market. But I think as the year went on you guys talked about just the complexity of it, made it sound like it was going to take a little bit longer and it was going to be more of the mainstream codec. And I wonder as we think about fiscal 2017, is that still how you would characterize it? Or it did, in fact, some people come through with ANC a little bit quicker than you were thinking?
Jason P. Rhode - Cirrus Logic, Inc.: No. I'd say your first characterization is correct which probably ends up in total being better, really. It's definitely true that manufacturers have, they're cautious as it relates to building noise canceling headsets because they are complex and in particular, testing in a very high volume is complex as well. That said, we've got multiple customers that are designing with the product. We fully expect there to ultimately be headsets on the shelves with what we believe is the best noise cancellation solution out there. So we're very excited about that. It's not driving a meaningful number for us this year and the neat news is just how big of a deal just generally digitally connected headsets have become. We've already seen multiple Android handsets that are shipping that eliminated the headphone jack and either ship with or have as an accessory a USB headset or an adapter of some sort. And I think it's kind of- I don't know, I think to most of us in this space that are pretty technical we look at things like the augmented reality games that all of a sudden are on the news 24/7. And I don't know what frankly outside of noise cancellation all of our various customers are going to do when they've got digital signal processing capability and power right in the headsets themselves, but there's all manner of things that can be done in addition to noise cancellation. And I just think it's going to end up being a really cool segment. It's pretty rare that there exists a 1 billion-plus unit market out there that traditionally has zero silicon content and suddenly has a strong reason to have an interface device and some level of conversion circuitry and earphone drivers and microphone pickups and whatnot. So that's a really remarkable opportunity and we're very well situated to capitalize on that.
Charlie Lowell Anderson - Dougherty & Co. LLC: Great and then Thurman, I just had a follow-up from you I think on the guidance into September quarter. I think there's maybe a $7 million or so uptick in OpEx. I wonder if you could characterize what's driving that.
Thurman K. Case - Cirrus Logic, Inc.: The uptick in the September quarter is really driven primarily by employee expenses. We're seeing much higher revenue and better company performance so a lot of that is associated with bonus activity and things like that. That is the majority of it.
Charlie Lowell Anderson - Dougherty & Co. LLC: Perfect. Thanks so much.
Operator: Your next question comes from the line of Rajvindra Gill from Needham & Co. Your line is open.
Rajvindra S. Gill - Needham & Company, LLC: Yes. Thank you and congratulations as well. I just want to get a sense of your view of the adoption of digital headphones and ultimately ANC in the Android smartphone market. I know a lot of it is dependent on how fast the Android smartphones transition to USB-C which will facilitate a digital headphone. But wanted to get your thinking on where we are with that particular market.
Jason P. Rhode - Cirrus Logic, Inc.: Well, yeah. Like I referred to earlier, we're excited to see there's already models on the market that have switched over to USB-C completely and either ship with or have available as accessories USB-C headsets or adaptors, one or the other, or both. The interesting thing is that as the core chipsets stand today, that's actually quite a painful thing to do, just the way the USB-C stack is handled and routing of audio and use as a voice interface is kind of clumsy in the handsets themselves. So we see that getting sorted out over the next 6 to 12 months in a way that makes it significantly easier for handset manufacturers to go that route. And so we would anticipate that would gain a lot of momentum over that timeframe. And like I say, I think we're extremely well positioned to capitalize on that.
Rajvindra S. Gill - Needham & Company, LLC: And on the annual growth rate, now that just based on the June numbers, September numbers, keeping everything constant, you're on track to grow 21% this year. Do you have any updated thoughts on your annual guidance? And do you have any thoughts on the seasonality of the business versus say last year?
Jason P. Rhode - Cirrus Logic, Inc.: Well, yeah. So that's a good time to get into that. We don't give annual guidance generally. We certainly last year or over the last few quarters tried to give a hint just because everybody was projecting doom and gloom and whatnot. And we had a pretty good sense of our content story and so that we needed to try to help people get in the right ballpark. But really, our crystal ball gets a little bit fuzzy once you look past the current quarter for a lot of reasons, which is why we don't provide guidance beyond the current quarter. We highlighted in the shareholder letter one reason; the timing of orders, especially the September to October timeframe, even if you assumed everything was all lined up evenly through the weeks of a quarter, that's one-thirteenth of a quarter, and the last week and the first week of each respective quarter. So just a little bit of timing change can move things around a lot. And, obviously, the September/October timeframe is a really busy time of year. So it's not at all unusual to have a disproportionate amount of the quarter in those couple of weeks. So that in a way that doesn't really have any impact on our business. It doesn't make any difference to us if something ships last week of September or the first week of October, but obviously, for the financial community, it can cause you guys to get quite wound up. You know, also, just one thing contrary to kind of what people might conclude, if from what you read in the media or elsewhere on the Internet or God forbid, TV, until a new product is actually on the market, nobody really knows how many consumers are going to turn up and buy it. So while an initial ramp is reasonably predictable, once a product's on the market, customers have got to revise what they're doing up or down to get everything all aligned. And we've seen great examples of that, mostly for the positive, historically, but last year, not so much. So it's really difficult to say with any real accuracy. And then of course, we've got Hillary and the Trump-ocalypse coming in November, so there's that you've got to figure as well. So given all that, we certainly decline to provide guidance itself, but if you've got to have something for your model, I would kind of look at the last handful of years for September to December and just pick something on the low end of that sequential growth – low end of that spectrum just to be conservative. And I suppose, as long as we're talking about things like that, it's a good time to remind everybody out there to read the risk factors that Thurman was referring to in our latest Form 10-K.
Rajvindra S. Gill - Needham & Company, LLC: And just last question from me. You talked about how your company's not as dependent on units as much as before. Can you talk a little bit about that? I mean, any way to quantify that? I mean, what would have to happen with units in order to where you would see an impact on the revenue?
Jason P. Rhode - Cirrus Logic, Inc.: Well, okay, so that's a little bit off of what I would say. I mean, obviously, we're dependent on units. If we get designed into something and nobody buys one, then that's definitely bad. Our point was that we have a perfectly reasonable growth expectation this year given – even without a meaningful unit growth in the handset space. Now, we can all – like I just said, nobody really knows, including our customers, really. But nobody really knows how many's going to buy – who's going to buy how many of what. But our point was merely that we can grow even if unit volume doesn't. Obviously, it's definitely our strong preference that unit volumes grow a lot. That would be great.
Operator: Your next question comes from the line of Blayne Curtis from Barclays. Your line is open.
Blayne Curtis - Barclays Capital, Inc.: Hey, guys. Thanks for taking my question, and great results. Jason, not to put you back on the spot with this question, but your December has ranged a whole lot. I think you'd have to go pretty far for it to be down, but it's up 60%; I think the low end of the recent history is still double-digits, so I just wanted to make sure – obviously, people are going to have to model something and you're going to have to answer to it. But I think that's what people are getting at is, is there any difference in your seasonality? You talked about phones sold faster, maybe headsets not as much but is there a difference in your seasonality or is it still going to be that double digit growth rate into December?
Jason P. Rhode - Cirrus Logic, Inc.: Well, that is certainly within the realm of possibility. Like I said, if I was trying to write a model I would pick something on the low end of what we've seen historically which frankly, is double digits and stick that and use that for now. Yeah, I mean, there are some nuances to things that are different this year that relate to your comment, but I think it's a pretty wide range of outcome based on how big of a home run things are that get launched this fall. And then if you kind of look at it from what's happened historically and pick something conservative and that's probably the right route.
Blayne Curtis - Barclays Capital, Inc.: Great. Appreciate that. And then just you mentioned the known second sourcing on the Android side and it was down for you in the June quarter but then you kind of mentioned some of these USB type C wins and such. Can you just as you look into September how much, what is the trajectory of the Android camp and if you can maybe make a comment on just the accessory market as a whole, are you seeing any growth into September there?
Jason P. Rhode - Cirrus Logic, Inc.: I would say there's a lot of good things going on in the Android camp both in the handsets and related accessories. I would characterize most of them as being pretty much base hit oriented. So it's a lot of good little things that are adding up over time. Not a huge needle-mover in any one quarter but something that, as I say over the next – as quarters go by and we add more models to the mix that's a really healthy dynamic for our business. So neither, outside of our second large, second and third largest customer none of them are huge yet. But they're definitely moving in the right direction.
Blayne Curtis - Barclays Capital, Inc.: Yeah. Thanks.
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Thank you.
Operator: Your next question comes from the line of Tom Sepenzis from Northland. Your line is open.
Tom Sepenzis - Northland Securities, Inc.: Hey. Thanks and congratulations. I'm just curious, in terms of the handset manufacturers 3 through 10. Could you just talk a little bit about maybe when you expect to see some greater traction there? I think in the shareholder letter you said 2018. I'm guessing you meant fiscal and not calendar?
Jason P. Rhode - Cirrus Logic, Inc.: Yeah. I mean we're, the folks in Chicago have continued to do a real nice job for us along with their new friends elsewhere. We're seeing really good progress in China. Like I say, that's just been in the last year we've had devices that are really applicable to the mid-tier. We've got a very, very high performance new D/A converter out that is designed specifically for handsets. Lots of folks in China are very keen on getting their hands on that. So, yeah, we would certainly expect to see additional customers as well as additional business for the existing customers in China over the next 12 months.
Tom Sepenzis - Northland Securities, Inc.: Thank you. And do you have any concern over constraints with all the new avenues for growth here just in terms of delivering over the next 6 to 12 months?
Jason P. Rhode - Cirrus Logic, Inc.: Well, it's always – I think our supply chain team is as good as it gets in the fabless industry. Very mature team. We know what we're doing. That said, like happened a couple years ago, the whole industry there was a product that hit the ball out of the park and the whole industry was completely out of capacity all the way through June. If that sort of thing happens, there's not much we can do about it. We always try to make sure. It's a balancing act making sure that we want to make sure that if somebody has upside we want to at least not be the supplier that is constraining them. And I think we're well positioned to be in that case. And then on the other side, we want to make sure we don't have so much laying around that we get stuck with inventory. And we don't currently have any real concerns there either. So I wouldn't characterize it as one of our biggest constraints. But it's certainly something we have our eyes on in case things take off.
Tom Sepenzis - Northland Securities, Inc.: Great. Thank you very much.
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Thank you.
Operator: Your next question comes from the line of Tore Svanberg from Stifel. Your line is open.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: Yeah. Thank you. I just had two follow-ups. First of all, could you talk a little bit more about the amplifiers? I know you're at a lower node now, 55-nanometer. Just wondering if that's allowed you to potentially accelerate your share gains.
Jason P. Rhode - Cirrus Logic, Inc.: We expect it will do. But just to be clear, 55-nanometer's still a work in progress. So we've got a, frankly, a fairly huge team working on moving all the IP down to 55, getting that out as essentially a 55-nanometer amplifier platform device that's got all the IP in it that we need. And then we've got a road map from there that we'll get cookie-cuttered out into a wide range of additional products. But your point is exactly right. The 55-nanometer process, coupled with an amplifier, lets us do stuff that we don't think many of our competitors are going to have the wherewithal to go do. So we can embed just an incredibly small DSP along with our amplifiers that lets the device be much more self-contained. Additionally, given that our smart codecs are in 55-nanometer it gives us avenue as cost pressures mount and things in the mid-tier, or if we start to try to push our devices even further down the model ranges that gives us an avenue to combine the smart codec and the boosted amp in a way that could be beneficial from a cost perspective. So there's a lot of really good things that we expect 55-nanometer to bring to the amps. That said, that's all still in the future. We're still chugging along with 180 being the bulk of our shipments in the amplifier space.
Tore Svanberg - Stifel, Nicolaus & Co., Inc.: That's helpful. And then the other question is maybe a little bit more specific on the supply chain for your MEMS microphone business. Maybe you could update us on where you stand on ramping up capacity for that business. Thank you.
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Well we're still in a mode with the design wins we've got today, we're able to supply them. It's a multiphase strategy between us and what we would define as a real major victory but nonetheless I think it's a good game plan that the team has. So we are bringing up, we are working with additional vendors in Asia as outsource foundry. That's again, it's our process that we own, a silicon nitride process that the U.K. team had developed. So we're bringing up additional foundry that can run that. We're shipping tens of millions of units of microphones. We're learning a lot about what goes bump in the night there. We're taking input from lots of customers about what are the attributes of being a preferred vendor and what would it look like to really knock the cover off the ball there. And I think the team has done a great job of learning from that exercise. We brought in PhD, big brain guys from just about everybody that has made a MEMS in the past. Added them to the team to really round out the capabilities we've got. And then over time as we prove that we can actually take a microphone to production and not have a lot of issues or surprises if we can develop the microphone business to be the same level of reliability and no surprises that our customers have come to expect from us on the silicon side. Then that lets us go do proprietary things that don't require a second source. So that's kind of where we are. I wouldn't describe capacity as one of our, the biggest challenges that we've got in front of us right now on mics.
Jason P. Rhode - Cirrus Logic, Inc.: Thanks Tore. I appreciate it.
Operator: Your next question comes from the line of Christopher Longiaru from Sidoti & Co. Your line is open.
Christopher J. Longiaru - Sidoti & Co. LLC: Hey, guys. Thanks for taking my question. I've been hopping around, so I apologize if I ask something that's been covered. Just in terms of the MEMS mics you guys have talked about, the bottlenecking in test. And you've been expanding there. Can you give us any idea of how the evolution of your thinking on that expansion has gone over the course of the quarter, if you're seeing more interest, anything along those lines?
Jason P. Rhode - Cirrus Logic, Inc.: Yeah. I think we've got plenty of interest in the mics. They're high performance. They're very, very small. It's a compelling form factor, particularly for ultimately when we the ANC headset stuff is hitting prime time. That's, obviously, if you're embedding a microphone in an ear piece, that matters a lot, from a size perspective. So there's plenty of interest. Test capacity is one factor. Manufacturing and reliability and really the entire supply chain process is something that we just want to wring out very, very carefully and make sure that, as I said on the previous question, we just want to make sure we're in a position where customers can expect the same level of no surprises that they have come to expect from us on the silicone side. So its tests is certainly a thing that we need to continue to refine. But its production capacity and all manner of challenges. My hat's off to the folks that already ship MEMS mics. That's a hard, hard thing to do. But I think we've got real good opportunities to be a meaningful player in that game over the long-term.
Christopher J. Longiaru - Sidoti & Co. LLC: That's great. And then just historically, you've talked about with your Tier 1 flagship phones what your current content on average versus possible content. Can you give us an idea of how you're seeing that on the mid-tier side?
Jason P. Rhode - Cirrus Logic, Inc.: A mid-tier smart codec in and of itself is on the order of about $0.50. There's certainly interest in the amplifiers for mid-tier as well. So you can imagine a mid-tier amp probably not wanting quite as much power as much, whatever goodness as the flagship guys would be interested in, but still on the order of $0.50. We've got good opportunities to get the microphones in there over time as well. And then so that all nets out to still some pretty meaningful content, all of which is new business for us.
Christopher J. Longiaru - Sidoti & Co. LLC: And does that, I guess you've historically been tied to one customer. Then you had that year where you added a second customer in large quantity. And it evened out your seasonality. Do you have that expectation long-term? I know you talked about it this year, but just in general going forward.
Jason P. Rhode - Cirrus Logic, Inc.: Yeah. Long term I think that it's just generally good for us to develop business with customers that want to differentiate on audio, and that has the side benefit of the more of them there are, the more naturally that's just going to get spread out. And that probably makes us easier to analyze and makes it certainly a long-term healthier business to have a wide range of those customers at different times of year. Different models that may or may not be successful, it just adds a lot of diversity into the business mix, which has got to be a good thing.
Christopher J. Longiaru - Sidoti & Co. LLC: All right. Thank you for taking my questions. I'll jump out, guys.
Jason P. Rhode - Cirrus Logic, Inc.: Sure. Thanks, Chris.
Operator: There are no further questions at this time. Ms. Chelsea Heffernan, I turn the call back over to you.
Chelsea Heffernan - Cirrus Logic, Inc.: Thank you, operator. There are no additional questions, so I will turn the call back over to Jason.
Jason P. Rhode - Cirrus Logic, Inc.: Thank you, Chelsea. In summary, we are pleased with our June quarter results, as strength in portable audio sales drove revenue above our guidance. On an annual basis, we anticipate sales of our boosted amplifiers and digital headset components to fuel FY 2017 above our long-term target model of 15% year-over-year growth. We continue to be encouraged by a variety of audio and voice trends that have begun to influence the mobile and smart accessory markets. With an extensive portfolio of innovative products and a comprehensive roadmap, we are excited about our ability to extend our leadership position in these emerging markets and drive future growth. I would also like to note that we will be presenting at the Pacific Crest conference in Vail on August 8, the Oppenheimer conference in Boston on August 9, and the Canaccord conference in Boston on August 10. A live webcast of these events will be available at investor.cirrus.com. If you have any questions that were not addressed, you can submit them to us via the Ask the CEO section of our investor website. I'd like to thank everyone for participating today. Good-bye.
Operator: This concludes today's conference call. You may now disconnect.